Operator: Good morning, ladies and gentlemen, and welcome to Orla Mining's Conference Call for the Third Quarter 2022. My name is Rob and I will be your conference operator today. [Operator Instructions] Please be advised that this call is being recorded. I would now like to turn the meeting over to Andrew Bradbury, Vice President of Investor Relations and Corporate Development for Orla Mining. Please go ahead, Mr. Bradbury.
Andrew Bradbury: Thank you, operator, and welcome to Orla's Third Quarter 2022 Results Conference Call on what is remembered today. During today's call, we will be making forward-looking statements. I would direct you to the first and second slides of the presentation which contains important cautionary notes regarding these forward-looking statements. All dollar amounts discussed today will refer to U.S. dollars, unless otherwise indicated. On the call this morning is Orla's executive team, including President and Chief Executive Officer, Jason Simpson. Jason, over to you.
Jason Simpson: Thanks, Andrew. Today, as we should every day, remember those who volunteered, sacrificed, served, fought and died for our freedom. Orla's team will be observing a moment of silence at 11 a.m. Eastern Time. Orla is a unique combination of quality assets, team and partners. And today, we will walk you through another strong quarter delivered by our team. First, the people at Orla Mining have kept each other safe and healthy for another quarter. That is what I am most proud of. They continue to be diligent against the COVID-19 virus and our new mine in Mexico just surpassed 1 million hours without a lost time injury. Here are the other key events for the third quarter. Operations at the Camino Rojo mine continued to perform well. This start-up performance has enabled us to increase our 2022 annual production guidance to between 100,000 and 110,000 ounces. We also continue to manage costs in this inflationary environment and Camino Rojo mine remains an industry cost leader. This continued operating strength is bolstering cash generation and our balance sheet. This foundation will provide financial flexibility as we advance our pipeline. During the quarter, we also completed the acquisition of Gold Standard Ventures. The owner of the South Railroad heap leach project located on the Carlin trend as well as the Lewis property on the Battle Mountain trend in Nevada. This acquisition diversifies and strengthens our portfolio. We are pleased to welcome the Gold Standard team and we continue to advance the permitting toward another producing mine. I'll now hand it over to Andrew Cormier, our Chief Operating Officer, who will provide an operating update.
Andrew Cormier: Thank you, Jason. During the quarter, site activities continued to focus on optimizing the mine, crushing, stacking and the process plant operations. Mining rates have steadily increased to 2.1 million tonnes of ore, remind at a stripping ratio of 0.91 and an average gold grade of 0.77 grams per tonne, in line with the mine plan. We stacked 1.8 million tonnes at an average full grade of 0.88 grams per tonne, which equates to an average daily stacking rate of 19,200 tonnes per day for the quarter, the second consecutive quarter above the nameplate capacity of 18,000 tonnes per day. During the quarter, we produced nearly 29,000 ounces of gold, bringing the year-to-date total gold produced to just under 78,000 ounces. As a result of the strong gold production, Guidance for the full year has been increased to 100,000 to 110,000 ounces from 90,000 to 100,000 ounces of gold. Mined ore tonnes are reconciling well to the block model and process recoveries to date are in line with the metal-recovery model. We continue to see the conversion of model blocks of waste tons to ore in the upper benches of the pit. I will now pass the call to Etienne Morin, Orla's Chief Financial Officer, to discuss the financial results for the quarter.
Etienne Morin: Thank you, Andrew. During the quarter, we sold approximately 29,000 ounces at a net realized price of $1,699 per ounce, resulting in $49 million in revenue for the period. Our net income for the quarter was $8.9 million or $0.03 per share after adjusting for the impact of unrealized foreign exchange gains, adjusted earnings were $5.7 million or $0.02 per share. It should be noted that during the quarter, as per our accounting policy, we expensed $8.3 million in exploration and development costs as we continue to explore in advance of projects in Mexico, Panama and Nevada. Cash costs for the quarter were $452 per ounce sold, while all-in sustaining costs were $594 per ounce sold, a clear reminder of Camino Rojo's lowest quartile cost structure. The cash cost for the year-to-date are $446 per ounce sold while all-in sustaining costs are at $597 per ounce sold. Camino Rojo is not immune to inflationary cost pressures seen globally and we've experienced increases in unit prices across several key reagents and consumables, which has been largely offset by lower-than-expected consumption rates specifically with power, diesel and cyanide. Our capital expenditures totaled $1.8 million in the third quarter, which included $800,000 in sustaining capital. The all-in sustaining cost guidance for 2022 remains unchanged at $600 to $700 per ounce of gold sold. Our cash flow from operating activities before noncash working capital was $15.5 million for the quarter, impacted by previously mentioned by higher reinvestment in exploration and development. Meanwhile, free cash flow generation was $25.2 million after adjusting for the effect of noncash working capital, mainly income taxes and proceeds received from value-added tax refunds in Mexico. As a result of the strong cash generation, our cash balance at September 30 was approximately $89 million, while our net debt stands at $78 million. It should be noted that as this is our first year of operation, we've accrued approximately $24 million in income taxes and special mining duties so far in 2022. And we expect another $10 million to $12 million in the fourth quarter, which will be -- all be payable in March of 2023. Starting in May of next year, we expect to start paying income taxes on a monthly basis. And lastly, as a reminder, in December, we'll be making our first quarterly principal repayment on our credit facility of $5.5 million and we'll also be making our second of 3 payments related to the Fresnillo obligation for the amount of $15 million. I will now pass the call back to Jason to discuss the Camino Rojo sulfides.
Jason Simpson: Thank you, Etienne. In September, we released the results of the first 5 holes of the Phase 2 directional drill program into the Camino Rojo sulfides and we continue to encounter higher grade zones over bulk minable widths. This information has transformed our perspective of the opportunity. While drilling by previous project owners was extensive, it was very much organized in favor of a large open pit scenario. And while open pit remains the base case, under Orla's management, we needed to understand if there was another possible approach to developing the deposit. In order to make this determination, we needed to understand if there existed a higher grade zone within the larger mineralized envelope. Since 2020, we have been completing directional drilling oriented in the opposite direction of historical drilling to better crosscut the main mineralized zones. Thus far, all of the new drilling into the sulfides has reinforced the presence of a higher-grade zone of mineralization greater than 2 grams per tonne over widths beyond 30 meters. This is an exciting development as it offers the potential for an underground mining scenario. Based on the promising results encountered in the Phase 1 and Phase 2 programs, more closely spaced south-oriented drilling will be required to fully capture the extent of the potential underground resource. The objective of these programs is to reinforce the geologic model and to confirm the continuity of higher-grade gold mineralization, growing the ounces available for an underground resource. As such, we expect to provide details in early 2023 of a planned Phase 3 south-oriented drill program and metallurgical test work. Upon the completion of additional south-oriented directional drilling and test work programs, a PEA is expected to be completed. This study will be based upon the optimal development method for Orla. Releasing a PEA now does not capture this -- that does not capture this additional drilling would be premature. The other new piece of insight we need to share is the deep potential we highlight on this slide. To date, most of the drilling at Camino Rojo has focused on defining the deposit above the Caracol stratigraphy layer. However, historical drilling did show evidence that high-grade mineralization was present beneath it. During our Phase 2 infill drilling program, we pushed some holes a bit deeper beyond this Caracol Formation and into the deeper stratigraphic formations along the Dike and Breccia structures to follow up on those previous intercepts. We believe these structures are the main conduits of mineralization to the deposit. Our deeper holes along with historic drilling have intersected significant mineralization, indicating the system is open at depth along these structures into deeper stratigraphy, offering new down plunge extension potential of the Camino Rojo sulfide deposit. Future drill programs will primarily focus on infilling the Caracol, which hosts mineralization and the existing resources with some holes also being pushed deeper. Additional metallurgical testing will also be part of the Phase 3 drilling. In addition to the Phase 2 drill program on the sulfides, we have also ramped up exploration across the portfolio, which now includes South Railroad. Exploration spending for 2022 is now expected to total $18 million across Mexico, Panama and Nevada. At Camino Rojo in Mexico, the regional exploration work includes reverse circulation drilling and continued target definition activities. RC drilling -- RC drill testing of areas proximal to the Camino Rojo oxide mine are underway with 60% of the program completed at quarter-end. The highest priority targets are expected to be drilled along the mine trend in the fourth quarter. In the third quarter, infill and expansion drilling all also occurred at Caballito, our copper gold discovery in Panama, which focused on converting resources from inferred to the indicated category and providing material for metallurgical testing. This drilling, along with the drilling planned at La Pava and Quemita, sulfide deposits will continue through the fourth quarter. In Nevada, drilling continued and was completed at Pinion SB on the Southeast extension of the Pinion deposit and a new drill program was initiated in late September at 3 mineralized zones with inferred resources, namely Jasperoid Wash, POD and Sweet Hollow as well as at Dixie with the objective to upgrade and grow oxide resources. During the quarter, we completed the acquisition and integration of Gold Standard Ventures, bringing together our teams and we are continuing the permitting process for this railroad project. This asset fits nicely into our portfolio and the strategy of creating stakeholder value by responsibly building and operating cash-generating mines in prospective jurisdictions with superior geology. In many ways, South Railroad is similar to Camino Rojo, a low complexity heap leach project with attractive economics on land with great geologic potential. The project is progressing toward a record of decision from the U.S. Bureau of Land Management. As the permitting process continues, we will look at opportunities to optimize the project, including gold recoveries. This could include the addition of crushing to the circuit. Building on Camino Rojo, we believe through the addition of Cerro Quema oxides and South Railroad oxides, we can increase production by 300% in the medium term. Beyond our oxide projects, we believe the sulfide resources in Mexico, Panama and Nevada, along with our exploration land packages in prolific districts, will provide the next leg of production growth. We are moving at full speed on all fronts. We are pleased that Camino Rojo mine continues to perform well in our first year of operations. Cash generation is strengthening our balance sheet and supporting our deep pipeline of development and exploration opportunities. We are pleased with the progress made thus far and are keeping our heads down, focused on executing. This quarter, I would like to acknowledge the citizens in the local communities that surround our operations. We appreciate their continued support as we work cooperatively to provide mutual benefit for many years to come. At this point, I'd like to open the call to questions and hand it over to the operator.
Operator: [Operator Instructions] And we do have a question from the line of Kulvir Gill from TD Securities.
Kulvir Gill: I just have a quick question on the Phase 3 drilling and the subsequent PEA. Could you provide more insight on the time frame of when we should expect that study to come out? And when we should expect the Phase 3 drilling to be over, Q3, Q4 of next year? Or will it be pushed to 2024? Any insight would be helpful.
Jason Simpson: Yes. Thanks for the question. So we have yet to obtain approval for the Phase 3 drilling. That will happen in a couple of weeks with the Board of Directors, but the drill plan has been organized and presented by Sylvain Guerard, who's on the call. I would expect that, that drill program -- the drilling as well as the assaying and incorporating results will take most of the year. At that point, we're going to make a determination of where we are with the spacing of the drilling within the higher grade portion of the deposit. And if we have sufficient drill spacing to support an underground resource, we'll be able to move forward with the PEA. If we don't and then we'll need to do more drilling to support that. As it stands right now, I would anticipate that we'll complete the Phase 3 drilling in 2023 and we can then communicate our plans and time line for the underground PEA.
Operator: [Operator Instructions] It looks as though we have no further questions. I will turn the call back over to Jason Simpson for some final closing comments.
Jason Simpson: Okay. Thank you, operator. Since there are no further questions, I would like to thank our team for their continued efforts in advancing our key projects and the success we continue to deliver. Never hesitate to reach out to Orla, should you have any follow-up questions. Thank you for your time.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.